Operator: Ladies and gentlemen, welcome to the Q3 Results 2025 Conference Call of Beiersdorf AG. I'm Moritz, the Chorus Call operator. [Operator Instructions] And the conference is being recorded. The presentation will be followed by a question-and-answer session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Christopher Sheldon, Head of Investor Relations. Please go ahead, sir.
Christopher Sheldon: Good morning, everyone, and thank you for joining us for our third quarter conference call. I'm here with our CEO, Vincent Warnery; and our CFO, Astrid Hermann. As always, we will start with the presentation of our sales performance of the quarter and the first 9 months of the year, followed by a Q&A session. And with that, I'd like to hand over to Vincent.
Vincent Warnery: Thank you, Christopher, and good morning, everyone. Thank you for joining our conference call. Astrid and I will provide an overview of our sales performance and key developments of the third quarter and the first 9 months of the year. The third quarter continued to be impacted by a very challenging market environment. Despite the headwinds, Beiersdorf was able to improve its performance versus the prior quarter. Our Derma business continues to outperform, delivering outstanding double-digit growth and winning market shares across regions. In September, we kicked off 2 major NIVEA launches. In our face care franchise, we roll out our breakthrough ingredient Epicelline. In our deodorant range, we launched the new Derma control line. While the initial impact on Q3 was limited due to timing, these launches are a key building block for our performance in Q4. We've also initiated a strategic rebalancing of the NIVEA core portfolio by broadening our efforts beyond face care to other skin care categories and reinforcing high potential categories like deodorants. And finally, in a continued challenging market, La Prairie returned to growth in Q3, supported by improved momentum in China. Let's take a closer look at how these developments are shaping our recent performance. The third quarter showed signs of gradual improvement, while we continue to see volatility across key markets. NIVEA continues to face pressure from an even weaker mass market environment especially in emerging markets, resulting in an organic sales decline of 0.4%. The major launches initiated in September only had a limited impact on Q3. Excluding the strategic repositioning in China, which is now completed, NIVEA's organic sales growth would have been positive. Our Derma business, with Eucerin and Aquaphor, once again delivered strong double-digit growth of 12.4%, reaffirming its role as a key growth driver in our portfolio. Our Health Care business, which includes the Hansaplast and Elastoplast brands outstanding growth of 9.8%, still supported by the successful rollout of our Second Skin plaster innovation. And despite ongoing market volatility, La Prairie continued its sequential quarterly improvement as planned, turning to positive organic sales growth of plus 1.6% in Q3. Overall, our Consumer Business recorded organic sales growth of 2.1% in the third quarter. Let me point out that our skin care organic sales growth increased to 4% in Q3 compared to 2.6% in the first half of the year. Beiersdorf's performance in the third quarter was flat, in line with our expectations and impacted by the difficult environment in the automotive industry. The Electronics segment, on the other hand, delivered a positive contribution, driven by a strong performance in Asia. Overall, this results in group organic sales growth of 1.7% in Q3. Looking at our Derma business in more detail. Once again, we delivered double-digit growth of 12.4% in the third quarter, a fantastic results on top of the tough 2024 comparison base when we first launched Epicelline. This underlines the strength of our innovation pipeline and our ability to identify and capture white space opportunities. It proves that we can deliver outstanding results and outperform competition even in markets that have slowed down substantially compared to previous years. Innovation remains the cornerstone of our success. This applies both to breakthrough ingredients and to the regular relaunches across our portfolio. Epicelline launched just a year ago, continues its successful rollout and remains a key growth driver in our Derma portfolio. And Thiamidol, which has been on the market for 7 years, continues to grow double digits. At Europe's leading dermatology congress EADV, Thiamidol was recognized as the only Derma-cosmetic active ingredient delivering effective treatment of hyperpigmentation at the root cause. This was endorsed by a newly established global consensus for the treatment of hyperpigmentation, a powerful validation of our science-led approach. But innovation doesn't stop with our hero ingredients. We continue to invest in regular relaunches across our portfolio. With our new Eucerin DERMOPURE Clinical range, for example, we are not simply introducing a new product line. We are delivering science-based solutions for acne, a skin concern that affects up to 85% of people globally. Acne is a leading reason for dermatological consultation and one of the fastest-growing categories in skin care. Our Derma business is not only performing across categories, it's also delivering across regions. In North America, our largest market for Derma, we achieved outstanding growth of plus 56% in the Eucerin Face category despite the slow overall market. The launch of the Eucerin Radiant Tone range with Thiamidol earlier this year, is showing excellent traction. In Europe, we are excited to report double-digit growth of plus 10%. This was fueled by the continued success of Epicelline, which is reinforcing our innovation leadership in the region. Looking at Northeast Asia, the entry of Eucerin into the domestic market in China has exceeded expectations with exceptional organic sales growth of plus 86% in the third quarter. Following the official approval of our patented ingredient Thiamidol last year, we are already seeing early success in the market. The Eucerin Thiamidol serum has already achieved a double-digit market share making it the #1 derma anti-pigment serum in China. And last but not least, we'll be launching Eucerin Japan, another white space next month. With NIVEA, we successfully started the launch of our breakthrough ingredient Epicelline in September. Building on the strong results achieved with Eucerin, we are now scaling this innovation into the mass market. This is the biggest NIVEA launch of all times. While the impact on our Q3 figures were still limited due to timing of the launch, the first week has already performed above our expectations. We are seeing strong early traction, including #1 category positions across key European markets. In France, for example, the NIVEA Epigenetics Serum reached the #1 position in hygiene and beauty products. And in Germany and Austria, we secured the #1 face care position at dm, the region's largest drugstore retailer. The initial strong launch performance is also visible in our September net sales figures for NIVEA with organic sales growth of plus 7.8%. A key driver of this momentum alongside the very recent NIVEA Epicelline launch, has been our NIVEA Derma Control Deodorant range. This is where our skin care expertise meets the high performance of personal care, the skinification of deodorants. While our recent launches are encouraging, we acknowledge that NIVEA's overall performance has fallen short of our initial expectations this year, particularly in the second quarter. So let me remind you of the journey we are on. Four years ago, we put a strategic focus on skin care, our core strength. We are committed to innovation, expanding into white spaces guided by our belief that beauty is global and offer-driven. This strategy has delivered outstanding results since 2022, 2023 and 2024, NIVEA achieved exceptional growth in some cases even double digit. That success gives us confidence in the path that we have chosen. Now to ensure that NIVEA continues on the strong growth trajectory we are making targeted adjustments with a proactive rebalancing of our portfolio. What does it mean? We are broadening our focus within skin care. While face care remains a key category, we are balancing our R&D and marketing investments across other skin care segments. We're also reinforcing deodorants as a strategic growth pillar, a category where NIVEA has a strong right to win through innovation. NIVEA is a value for money brand and stands for affordable prices, and that remains unchanged. While we see customers' willingness to pay for breakthrough innovations like Thiamidol and Epicelline, most of our portfolio continues to be priced at accessible price ranges. We know there is work ahead, but we also know that we are capable of, and we are taking action to bring NIVEA back to stronger growth and continue building on its legacy as 1 of the world's most trusted skin care brand. And let's not forget, as we have always said, even a brand has established as NIVEA still offers significant white space opportunities. A great example is India, where we launched NIVEA Face earlier this year and are continuing our double-digit trajectory. We are equally excited about the potential of NIVEA Thiamidol in China, where we are just beginning to build momentum. This leads me to our NIVEA repositioning efforts in China, which were completed at the end of Q3. Performance has stabilized, and NIVEA in China is already back to growth in October setting the stage for acceleration in the remaining fourth quarter. Our strategy in China is clear. We aim to win through innovation in skin care. With Thiamidol as our hero ingredient, we are confident that it provides a distinct competitive edge in this highly dynamic market. China remains a key opportunity for us in the mid- to long term. It's a demanding environment, but with the right portfolio and continued innovation, we are convinced that NIVEA is well positioned to compete even against strong local brands. Coming to La Prairie, which is back to growth. While the market environment remains volatile, La Prairie delivered a solid Q3 performance with growth of plus 1.6%. This was driven in part by continued momentum in China, which achieved growth of 3% and an outstanding double-digit sellout. I'm also pleased to announce a major milestone in our global expansion strategy. After successfully establishing NIVEA Face and Eucerin in India, we've now expanded our premium portfolio with the launch of La Prairie, exclusively on Nykaa. This marks our entry into 1 of the world's most dynamic and fast-growing beauty markets, an important step in strengthening our global footprint. Before I hand over to Astrid, let me turn to our e-commerce performance. E-commerce continues to be a key growth driver for Beiersdorf. In the first 9 months, we achieved organic sales growth of 16.6% with Q3 accelerating to 19.2%. We are gaining market share everywhere, with particularly strong momentum in emerging markets in Europe. Our Luxury e-commerce business continues to grow, fueled by targeting online activations, while our Derma portfolio shows global trends delivering double-digit growth across all regions. Astrid will now take us through the tesa results and our financial performance in more detail.
Astrid Hermann: Thank you, Vincent. Now let us review tesa's business performance for the first 9 months of 2025. Despite ongoing market challenges, tesa delivered 2.0% organic sales growth year-to-date, rising uncertainty and the potential impact of U.S. tariffs continue to affect demand, particularly in Europe and North America, while Asia continues to be a strong growth contributor. Our Electronics business was a key growth driver, supported by strong demand for major customers, particularly in Asia. The automotive segment continues to navigate a complex and volatile market environment. Despite the challenges, the segment showed resilience and delivered growth in some regions, particularly in Asia Pacific, where we are winning new customer projects. tesa's consumer segment remains under pressure, especially in Europe, Nevertheless, it achieved growth over the first 9 months, supported by a solid performance in the third quarter. Finally, I'd like to highlight a leadership change Dr. Kourosh Bahrami, has succeeded Dr. Norman Goldberg as CEO of tesa, with over 30 years of international leadership in the adhesive industry, Dr. Bahrami brings strong leadership and a clear commitment to drive customer value and sustainable growth. We thank Dr. Goldberg for his transformative leadership and look forward to continuing tesa's successful course under Dr. Bahrami's direction. Now let's continue with our 9-month sales performance in more detail. In the first 9 months of 2025 Beiersdorf Consumer division grew by 2.0% organically. Due to unfavorable foreign exchange effects, nominal sales declined slightly to EUR 6.25 billion. The tesa division reported solid organic growth of 2.0% for the same period. In nominal terms, net sales remained flat at EUR 1.29 billion. Overall, the group generated EUR 7.5 billion net sales in the first 9 months of 2025, translating into 2.0% organic sales growth. Now let's take a closer look at the performance of our brands within the Consumer Business segment. Vincent has already provided an overview of the third quarter sales results. So I will focus on a summary of our brand's performance in the first 9 months of this year. In a persistently challenging market environment, NIVEA delivered modest growth of 0.6% in the first 9 months. Our performance was further impacted by higher competition from local brands and the strategic repositioning in China, which we successfully completed at the end of Q3. In addition, our innovation pipeline was weighted towards the second half of the year, especially Q4. Key launches, including Epicelline and Deo Derma Control, were launched in September and only had a minor effect on Q3. They are expected to be a strong pillar of our growth in Q4. Derma sustained its strong momentum with an outstanding performance over the first 9 months, achieving 12.3% sales growth, clearly outperforming the market and our peers. Eucerin Face delivered exceptional results driven by the successful rollout of Epicelline and the launch of Thiamidol in the U.S. Growth was further supported by the remarkable success in Latin America, particularly in Brazil and Mexico, as well as the successful launch of Eucerin in domestic China and India. Building on the strong momentum from the first half of the year, Health Care continued to reinforce its market position in Q3, delivering a remarkable 8.8% sales growth for the first 9 months. Australia and Indonesia delivered double-digit growth, both in Q3 and across the 9-months period, while Germany also accelerated to double-digit growth in Q3. For La Prairie, we have seen a gradual improvement quarter-by-quarter, resulting in a return to growth in the third quarter. This recovery was supported by an improving performance in China, particularly a strong e-commerce business during Q2 and Q3. Let's take a closer look at the organic sales growth of our Consumer Business in the first 9 months across regions. In Europe, we grew by 1.2% with Western Europe growing 1.7% and Eastern Europe slightly declining with 0.7%. Western Europe was negatively impacted by the global luxury travel retail business, particularly during the beginning of the year. Eastern Europe faced pressure from a broader market slowdown and retailer conflicts, particularly in the first half. The Americas region concluded the first 9 months with a robust growth of 2.2%. North America showed a mixed performance with excellent results in Derma, driven by the Thiamidol launch in the U.S. while facing some headwinds in the mass business and with Coppertone in the tough sun care market. Latin America grew by 2.0%, also reflecting a mixed performance. Eucerin delivered strong double-digit growth with outstanding results in key markets such as Mexico and Brazil while our NIVEA business was impacted by general market slowdown, particularly in the deo category and by increased competition from local brands. The Africa, Asia, Australia region delivered solid sales growth of 2.9% despite a negative impact from the ongoing NIVEA portfolio cleanup in China, which was successfully concluded by the end of Q3 as planned. Strong growth was recorded in markets such as India and Japan. With that, I would like to hand over to Vincent, who will provide the outlook for the rest of the year.
Vincent Warnery: Thank you, Astrid. Let us conclude with our guidance for the rest of the year 2025. The Consumer Business delivered plus 2% organic sales growth over the first 9 months with an improvement visible in Q3. At the same time, we saw a further deterioration of the market in the third quarter, especially in emerging markets, which is affecting the core of our mass market business. As a result, we are adjusting our full year guidance to around 2.5% organic sales growth for consumer. Our expected growth for the fourth quarter is based on the following pillars. NIVEA is entering the final quarter with a strong innovation pipeline. We recently launched Epicelline, our breakthrough innovation in skin care along with our new derma control deodorant. These launches are still in the early stage and are expected to gain traction and visibility throughout the fourth quarter. Early indicators and the September performance are positive as highlighted in our presentation. The remainder of the year will be driven by the performance of these launches as well as the strengthening of Nivea core business to support both we have implemented targeted rebalancing measures to reinforce our core categories, while at the same time, supporting the successful rollout of our innovations. In China, the strategic repositioning of Nivea, which had a negative effect on our performance during the first 9 months has now been completed and will no longer weigh on our results going forward. Our luxury business with La Prairie is beginning to show encouraging signs of improvement, the return to growth in the third quarter. Finally, our Derma segment continues to perform strongly. We expect double-digit growth over the full year while Q4 is expected to remain below the 9 months performance due to an exceptionally strong fourth quarter in 2024 when Epicelline was rolled out initially. We still confirm our EBIT margin guidance with an improvement of 20 basis points, excluding special factor in the Consumer segment for the full year. In the tesa Business Segment, we confirm our guidance of 1% to 3% organic sales net growth and an EBIT margin, excluding special factors, at around 16%. At group level, we expect organic sales growth of around 2.5% with the EBIT margin, excluding special factors, slightly above last year's level. We continue to be committed to outperforming the market over mid-term, driven by innovation and strategic expansion into white spaces. On profitability, as we have stated in the past, will not sacrifice long-term value creation potential over short-term margin optimization. Nevertheless, we remain committed to profitable growth with EBIT growing at least as fast as the top line. We'll provide further guidance for 2026 and beyond in our full year 2025 call. Now over to you, Christopher for the Q&A.
Christopher Sheldon: [Operator Instructions] And we will start with Patrick Folan of Barclays this morning.
Patrick Folan: Just 2 questions for me. Maybe focusing on NIVEA first. You had a strong September performance. Was this mainly due to the Epicelline sell-in here and your Derma deo performance? Or was there a wider recovery in the core portfolio here? And my second question is that you talk about value for money for the NIVEA brand, are there any changes you are making to the current pricing strategy with NIVEA in any of your markets? And in terms of the Epicelline price point in Europe, are you still targeting a EUR 25 to EUR 30 pricing?
Vincent Warnery: Patrick. On your first question, yes, absolutely, the success of the month of September is mostly due to the launch of Epicelline, NIVEA Epicelline and Derma Control, as the core business, the core market has been in line with Q2. Epicelline is really doing extremely well. I receive every day very good sell-out results. I mentioned, #1 hygiene and beauty product in France. I mentioned also Germany. I was looking also at Italy. This is already the #1 serum in Italy. This is the #1 serum in Netherlands. This is the #1 face care product in Switzerland, in Belgium, in Spain, in Portugal. So clearly, it was already by far the best ever launched Epicelline, but we clearly sell out going in the right direction. Derma Control, we launched it a bit later. We are doing extremely well. I mean, Romania, we are back to the best ever market share in deo. We are regaining market share in deo in Germany. So I feel also very positive about that. On your question about the value for money, I think you have to really to remember that there are only 2 expensive products in the range of NIVEA, which are the Epicelline and the Thiamidol launch. The rest of the product are priced between EUR 2 and EUR 4. So there is no issue of price positioning. This being said, we are currently launching Epicelline. And the way the business is managed, we have some promotions. So for example, if you go to the U.K. that [ Bucci ] is promoting the product at GBP 24, for example, versus a normal price at GBP 29. We have also some promotions. So we will fine-tune the -- we'll see a little bit of the first months are working. And if we feel the need to go below EUR 29, could be EUR 28, EUR 27. We'll do it just to be sure that we have absolutely the right price elasticity. On Derma Control, we had EUR 2.80, so absolutely no issue. So the only open question and again, we'll have the market results soon is do we decrease the price of Epicelline by EUR 1 or EUR 2 in Europe, knowing that, as you might remember, in emerging markets, we are pricing Epicelline below. We are at EUR 22, having also a specific packaging, which allows to keep the same margin, but at a lower price.
Patrick Folan: Okay. Just to clarify one thing there. Just on pricing, so you feel comfortable with the price points you have in your current portfolio as we go into next year?
Vincent Warnery: Absolutely. I mean the prices are between EUR 2 and EUR 4. What we are clearly trying to do is to reduce the price increase we do next year. You might remember that we were the only brand doing a price increase in 2025, which created some customer retaliations. We try to minimize that next year, focusing really on the products and the innovation where we are bringing a real added value to consumers.
Christopher Sheldon: The next question is from Celine Pannuti of JPMorgan.
Celine Pannuti: My first question is on the market growth. Vincent, you said that the market has decelerated, especially in emerging markets, and you adjusted your guide for that. How do you feel the company can deliver as you look into 2026? So also given that you're talking about the rebalancing of investment for NIVEA, I wonder as well if you can provide on how you feel in terms of your new level of investment in the deodorant and personal care part and whether for 2026, we should expect that you have -- you need this extra investment and maybe a limited margin expansion? That's my first question. I'll give you the second one after.
Vincent Warnery: On your first question, Celine, so what we clearly see, and I mentioned that in my speech that the market -- the skin care market is difficult. And we have -- if you look at the year-to-date figures, we are more -- we are around 0.5%, 1% growth on the market with, of course, different dynamics in mass market, we are around 5%. Derma, this is the news, we are more into the 3%, 4% and luxury is still at minus 5%. So this is a market which is not growing as much as expected. We are expecting a small recovery in the months to come. We see, for example, that the derma market in the U.S. is doing better, and we are over performing this market. We see also luxury, I was mentioning China, but also saw some good figures in luxury going in the same direction. So overall, for the market growth this year between 1% and 2%, and we believe that we go slightly above next year. What we are -- what is making us optimistic in a way is that the worst market dynamics is the derma market. And this is a market which really used to be growing at double digit. And we are now into a market dynamics, which is around 3%, 4%. And this is a market where we are overperforming by a factor to between 2 and 3x the market because we are coming with innovation and because we are supporting those innovation. And this is why when I look at the dynamics next year, on NIVEA. I feel a little bit better than I would say, in 2025 because we have the launches that we are doing right now, and I mentioned Epicelline and Derma Control, but we have also a launch plan, which is much more -- much better balanced next year with more launches in the first semester versus this year and something where we can really have a more balanced dynamics launches versus core. And we are indeed, thanks also to the courageous decisions we have taken on prices, we are able to manage a pretty good gross margin, allowing us to invest -- to continue to invest on those launches. So we will rebalance a little bit the investment between the face care premium product, and we had to launch both Thiamidol and Epicelline in 2025. So rebalance this money into not only other skin care categories, also on more affordable face care proposal, for example, in emerging market, but also on the other end. So with the current P&L equation, we can increase the marketing spendings beyond NIVEA. And of course, on Derma, there is no question, we will continue to invest more.
Celine Pannuti: All right. Just maybe to follow up on that, asking whether the 50 basis points plus margin expansion that's your midterm target, how you feel about it going into '26. So that's my follow-up. And then my second question, Astrid now. Can you provide a bit more details about Europe, which really came back to good growth at 3%. Was there a travel retail impact there? If you can tell us what quantify this? And how do you feel about the overall consumer and retail environment? Of course, you have the benefit of the sellout and sell-in of Epicelline. But overall, how you feel the European market is developing as we look into the quarters to come.
Vincent Warnery: On your first question, so we will not give a guidance for 2026, and we'll give that in 2025, but we maintain the idea that we have to overperform the market and continue to grow profitably. So we'll come back to that in 3 months. On your question about Europe, yes, travel retail has an impact on the performance of Europe. This is a 40 basis point impact because we are overperforming this market with La Prairie, but this is a double-digit negative market. So this has an impact on Europe. When you look at the question sell-in versus sell-out, the fact that we see some improvement in deo, for example, which was really the biggest market share loss in 2025 in Europe is making us more optimistic. Even if you look at Germany, which is by far our biggest deo market we have been gaining market share over the last 3 months in a row, which is a good news. We see also that the outstanding success of the sun season in Europe, we grew 12% in a market which was growing double digit, but this is really one of the best performance in Sun is also giving us some good momentum. So deo, I would say we feel positive. Sun care is positive. The question is face care. As I said, the sellout results we are getting from specific retailers is promising. But you remember my story, sell-in is one thing, sell-out is another thing. Repurchase is absolutely essential, and this is what we'll be able to measure in the first quarter. So not to -- neither optimistic nor pessimistic, but some good signals that will -- should give us some better performance in Europe next year.
Christopher Sheldon: The next question is from Jeremy Fialko of HSBC.
Jeremy Fialko: So a couple of questions from me. First one, just to go into the Eastern Europe region that was kind of pretty negative within the period. So just what's going on there? And then the second question is just on kind of capital return. Now you've done the EUR 500 million share buyback for the last couple of years. Do you think -- what do you think the potential would there be to increase that in 2026, given where the share price is [indiscernible] given the kind of existing authority that you have got, if that's something you think would be on your agenda to bring on a board?
Vincent Warnery: First question, yes, indeed. Eastern European used to grow double digit. The market was really booming. It suddenly decelerated vigorously and moving from a plus 12% to plus 2%, plus 3%. There's also interesting competitive environment, which has changed. If you look at a country like Poland, 100% of the growth is coming through Korean brands and not really big Korean brands, but Korean brands are there for 6 months and then replaced by others. So all of us, all the global brands are suffering from that. What also worsened the situation are a few customer issues that we have been able to solve. So that's something where we should have a positive momentum in 2026. But the key question is, and this is where obviously rebalancing the portfolio for us is to be sure that we are not only investing on Epicelline and Thiamidol, but we have also a strong action on deodorants. This is by far our biggest market in Eastern Europe. So that's what we are doing right now. And I mentioned the example of Romania, for example, where we reached our best ever market share in deo. That's something which is giving us some hope. On your question about share buyback, we just closed, the second time we did share buyback. So you have to allow us to discuss with the Supervisory Board at the end of the year what we want to do. What is essential? You remember that in terms of priority, we know that we have too much cash available and the priority should and will continue to be M&A.
Christopher Sheldon: The next question would be from Guillaume Delmas from UBS.
Guillaume Gerard Delmas: Two questions for me, please. The first one on the 2025 revised outlook. I mean, still trying to reconcile this updated guidance of around 2.5% for Consumer. That seems to imply a little bit more than 4% organic sales growth in Q4, but you also had that very strong momentum of NIVEA in September, growing nearly 8%. So why -- wondering why you would expect such a sequential slowdown between September and the fourth quarter? And then my second question, it's on the changes you are making to your strategy, particularly that stronger support behind more skin care categories and deo. I mean, I guess, first, when do you think we should start seeing some benefits from this? I mean, could it be immediate? Or is it more of a slow burn? And secondly, given that your margin guidance for the year for 2025 for Consumer is unchanged, would it be fair to assume that at this stage, it's much more about reallocation of resources rather than an overall increase in your marketing budget?
Vincent Warnery: Guillaume, on your first question, you should not forget that, obviously, when you launch a new -- I mean, the biggest launch ever on Epicelline and NIVEA plus a range of 6 or 7 SKUs of deo in September, you cannot continue the same momentum for the next 3 months. So you will have -- the pipeline effect will be, I would say, September, October. And then you have the sellout. So this is why we have indeed planned the growth with the full success of those launches, but a core business, which will not improve dramatically. So that's the assumption of the Q4. This is why we wanted to come with a more realistic assumption for Q4, which is, by the way, consistent with what all of you thought. On the rebalancing, no, I mean, the reason why we came with Q2 and we decided to change the guidance on EBIT moving from plus 50 basis points to plus 20 basis points is simply because we knew that those big launches were coming in Q4, and we knew that it would have been a shame not to support them just because we wanted to deliver in a kind of dogmatic way the first guidance we gave on EBIT. So the 20 basis points that we -- the 30 basis points that we decided to allocate to marketing budget are exactly the money we're going to spend in Q4, and we have the biggest ever spending on the face care launch on NIVEA and the biggest ever spending on the deo launch on NIVEA on top of, of course, continuing to support the launch of all the launches and the activity of Derma and the bigger mission in China with 11/11. So no change in the media strategy, just using the 30 basis points that we freed in the Q2 to support those big launches in the weeks to come.
Christopher Sheldon: The next question is from like Ulrike Dauer from Dow Jones.
Ulrike Dauer: I hope you can hear me. I don't have much of a voice today. Sorry. I'd like to ask a question about the U.S. import tariffs after the failed tariff deal between Switzerland and U.S., the import tariffs are now 39%, which are affecting La Prairie. And I was just wondering, will you be able to pass on the additional cost to customers? How much more expensive will be even already expensive products deal? And is that still not enough for a strategy change? Or do you consider maybe producing more in the U.S. now like many other companies more or less voluntarily are planning to do? Also, the overall import tariff exposure, you said that a lot of the products for the U.S. market are produced in Mexico or other countries. Can you quantify additional costs related to those new import tariffs by quarter, by full year? Is there any additional information you might be able to provide? I have some other question about Kering. Maybe you can answer that question later.
Vincent Warnery: Your question about La Prairie. So yes, indeed, the Swiss government has not yet been able to negotiate a reduced tax level tariff increase with the U.S. So we have indeed this extremely difficult situation. We have been, of course, anticipating the change of service. So we are covered, I would say, in terms of stocks in the U.S. For the time being, we are waiting -- wait and see in a way. We do not believe today that it will be wise to implement immediately the tariff increase on the La Prairie prices, which, as you mentioned, are already very high. You imagine that in percentage is high, but in absolute value, it's extremely high for La Prairie. So we are not planning to do that. You can imagine that we have anyway a gross margin, which is pretty comfortable on La Prairie. We will see the way other competitors are acting. What is absolutely out of the question is to produce in the U.S. because the strength of La Prairie is made in Switzerland. That's the story of the brand. So we'll absolutely not produce in the U.S. We'll continue to produce in Switzerland. On your second question, you rightly mentioned that we are in a way, lucky because we have one -- a big part of the production that we are selling in the U.S. is produced in the U.S. and the other big part is in Mexico, where there was no additional tariffs. So we have today an economic equation, which is pretty good for our business. Yes, we have a few products produced in Europe. So they will be affected by the 15% tariff increase, but it's really a minor, minor part of the range, and we'll be able to absorb that either through small price increases or just by managing value engineering projects. So all in all, yes, La Prairie is an issue, but it's a small part of the business in the U.S. The rest of the range is in a way, protected.
Ulrike Dauer: May I ask one more question about the Kering brands that were up for sale. Have you looked at them and considered or don't they really match your portfolio strategy?
Vincent Warnery: Ulrike, we are good in 1 category, which is skin care, skin care, skin care, and we are lucky enough that this is by far the biggest beauty category in the world. We have no expertise in perfume. So it would have been a mistake to enter this field without any expertise, so we did not even look at the project.
Christopher Sheldon: And the next question is from Bernadette Hogg of Reuters.
Bernadette Hogg: I'm sorry. I was still in mute. So it's a bit of a recap question on the slowdown of the market -- in the emerging markets for skin care. So do you see these factors as temporary? Or is it more structural? And how long do you anticipate it lasting? And what are the major causes of the slowdown?
Vincent Warnery: A clear deceleration. We used to have an emerging markets, skin care growing double digit. We end up to a level which is close to low single digit, even negative in some countries. There are a few phenomenons which are taking place. Obviously, Latin America is hit by the -- not only the political uncertainties, but also all the discussions about U.S. tariffs, not U.S. tariffs and Mexico is a country where obviously, we -- the market was suffering with that. We see in other countries, the development of simplified routines. People -- this is what they call the skinimalism trend where people are buying less product and some of that cheaper. So the only solution, and this is what we are doing pretty successfully with Derma is to come with innovation. In fact, the worst market dynamics in emerging market is the derma market, and we are growing extremely high with double-digit growth in each and every market. We gained market share everywhere. So the recipe that we have been using successfully with Eucerin, we are using it now with NIVEA with also some changes and some rebalancing. For example, I mentioned already the fact that we -- it's the first time we are launching the same global product Epicelline with 2 different packaging proposal, so one allowing us to sell it at below EUR 22 in emerging markets, and that's much cheaper than the EUR 29 we have in Europe. We are also putting a lot of focus on products like NIVEA Soft in India, which is a fantastic accessible product, but also Facial in Brazil, which has a 30% market share in skin care. We are rebalancing our investment also on deo. I mentioned Derma Control, which is a global launch that we are launching everywhere. So we are not optimistic on the development of the emerging market dynamics. We'll see what happens. But clearly, we are coming with a much stronger innovation portfolio and -- I would say, much more -- much better adapted launch portfolio to emerging markets. So we hope to see some good figures in the months to come.
Christopher Sheldon: The next question is from Anna Westkämper of Handelsblatt.
Anna Westkämper: I have 2 questions regarding tesa. First of all, how dependent are you on the recovery of the automotive sector here? And second of all, are you looking into expanding into other industries like defense with tesa?
Astrid Hermann: Thank you so much, Anna, for your questions. So look, automotive is a big part of the tesa business. Between automotive and electronics, they're really the pillars of what tesa has established. The nice thing about tesa is that they continue to make progress in each of the industries, in automotive as well. So while the market certainly was challenged in Europe and North America, the projects it gained, particularly in Asia Pacific, have really helped kind of balance that impact. so again, not an easy market and certainly not a huge growth driver for tesa year-to-date, but 1 that is also not a huge drag, which is very, very helpful. And yes, tesa has really invested if you followed some of our commentary also in previous calls. They've really invested over the last few years significantly into innovation and business development, and that is really to go beyond these 2 industries as well and significantly drive more business in other industries.
Christopher Sheldon: And the next question is from Olivier Nicolai of Goldman Sachs.
Jean-Olivier Nicolai: Just very 2 quick follow-ups. First, on NIVEA Epicelline, you obviously have it in Europe and a few other countries. But are you planning to roll this brand out across your whole geographic footprint in next year? And then secondly, on tesa, just a quick follow-up. In the context of obviously what we just discussed about the automotive market, should we expect most of the growth for tesa for next year to come from Electronics?
Vincent Warnery: Thanks for your question. Yes, absolutely, NIVEA Epicelline will be launched and is launched absolutely everywhere. So obviously, not yet in China because we are focusing all our energies in Thiamidol. But this is -- the objective is to launch it in most of our NIVEA countries in the next 6 months. We have already covered Europe. We are starting now in Q4 to launch it in some emerging markets, but this is clearly a very big priority for NIVEA globally. On tesa, Astrid?
Astrid Hermann: Yes. Thank you for your question on tesa. Look, we -- the tesa business absolutely wants to continue to grow in electronics. As you know, a lot of the Electronics business is a project business. So we need to win projects every single year, for example, also with the big device manufacturer. So absolutely, we continue to look for growth in the electronics business as well.
Christopher Sheldon: Next question is from Mikheil Omanadze from BNP Paribas.
Mikheil Omanadze: The first one would be on NIVEA. So if September was so strong, it would imply quite a sluggish delivery in July, August. Would you please be able to provide some color by categories within NIVEA, which were particularly weak in July, August? And my second question is on Chantecaille and Coppertone. How did both brands do in Q3?
Vincent Warnery: On your question about the NIVEA, yes, July, August was well low also because, obviously, we had 0 launches at the time. We had also no effect on any price increase. So we did a minus single digit, I think, on NIVEA, if I remember well, on July, August, compensated by the figures of September, I was just sharing. You have also to keep in mind that's important also to mention that, that the Chinese relaunch has changed -- has obviously impacted strongly the development of NIVEA. If you look at the first 9 months, if we didn't have that this revamping of the Chinese business, NIVEA will be growing plus 1.3%. So that's also something which obviously we decided to do. We are hoping at the time to have a better NIVEA business, but it has obviously impacted the situation. The second question, Mikheil was?
Mikheil Omanadze: It was on Coppertone, Chantecaille.
Vincent Warnery: Coppertone, Chantecaille, yes. Coppertone, the only good news on Coppertone is that we finally found our way. We clearly have tried a lot of things with Coppertone, trying to launch in face care, trying to launch in spray, trying to develop the brand in a lot of directions. If you know a little bit the U.S. market, we have refocused on sport. We took a very famous rugby -- female rugby player. We are gaining market share on sport. It's not enough to compensate the loss of the rest of the categories. But at least we will continue to support that. We'll focus all our investment on sport, which is the legacy, the origin of the brand and try to gain market share in this category. Chantecaille, we had a very good first semester with also the launch of China, which impacted the figures. Q3 was a little bit more difficult because we suffered from the slow development of the U.S. luxury market, and we are very dependent on the luxury market. And we have not yet been able to open the stores we wanted to open. They are more coming in the fourth quarter and the first quarter. So all in all, we grow at 7%, 6.8%, which is good, but I was hoping to do better. And we'll see really the way the Chinese business, but also the Indian market, and we are launching in India will also complement hopefully, a better U.S. business in the months to come.
Christopher Sheldon: And then we have Tom Sykes next in line.
Tom Sykes: Just, I guess, some -- a couple of follow-ups on questions already been asked. But in terms of the rollout or level of innovation in full year '26, excluding the sort of country rollouts of Epicelline, then what's the level of that in full year '26 compared to '25? Because you obviously had theoretically a large upgrade of many products in NIVEA? And how would you view that being phased H1 versus H2? And just on pricing, I don't know whether you've given the -- I don't think you've given the commentary on sort of pricing versus volume at all at the moment. But any view on commentary you can give on that? And to what degree do you need to push price to maintain gross margins given that FX has moved from where we were, please?
Vincent Warnery: Tom, on the rollout, yes, absolutely. We have a better launch plan for next year, better in 2 directions. First, balance between H1 and H2. I mean, one of the difficulties that we had this year was the fact that we had almost no launches on NIVEA in the first semester. One of the reasons being that I didn't want to launch NIVEA Epicelline too early after the launch of Eucerin Epicelline. So it has clearly created a first semester with a very low level of innovation. Next year, we have a big plan in the first semester, where clearly it's really 50-50 in terms of new launches, H1 versus H2. The second difference also it's also a wider plan in the sense that most of the initiatives in 2025 were in face care and Derma Control deo at the end of the year. We have next year some very good launches on body, on deo, on lip, on sun care. And on face care, which is interesting, not only the, I would say, the usual suspects, the premium product, Epicelline and Thiamidol, but also a very big ambition also on some more accessible offer, NIVEA Q10, NIVEA Soft, facial in Brazil in order to be sure that also in face care, we maintain this good value for money dimension. On pricing, I always say that the objective is clearly to have a dynamic which is more 2/3 volume, 1/3 price. What I find interesting in the third quarter is, in fact, this is a quarter which is purely driven by volumes. And this is the first time because obviously, the price effect was in Q1 and Q2, which I find interesting because it proved that this is one of the best performance in volume we had since a lot of quarter. We are able to regain this volume growth and also to recruit new consumers. So next year, will be surgical. We'll not do price increase over the board. We'll be surgical. We'll do it only when we are obliged indeed to do it because we want to protect the gross margin. And we are also willing to be much more demanding in terms of cost of goods increase. We are challenging our suppliers. We are moving also from a high dependency on single sourcing to a much better multi-sourcing in order to make some negotiation on the cost of goods. And we'll show that we do price increase where we have to protect the gross margin and/or where we are coming with an innovation or innovation was a true added value in the eyes of retailers, but also in the eyes of consumers. So the level of price increase will be strongly, dramatically below the one we had in the years before.
Christopher Sheldon: And it looks like we have one follow-up question from Celine.
Celine Pannuti: What China did in the third quarter, it seems that it was negative for NIVEA. But overall, if you can talk about how comfortable you feel about the reacceleration in the fourth quarter? And if you could comment as well on La Prairie.
Vincent Warnery: I must say, Celine, I feel well with China. Let me start with the absolutely obvious success. We have Eucerin, which is growing 83% in Northeast Asia, which means that we are growing 150% in China. We have the anti-pigment serum of Eucerin, which is today the #1 anti-pigment serum in China. So we are beating not only the global competitors, but also local competitors. And the first 11/11 figures, so it's only 30% of the time, but we are growing in sell-out by 83% versus last year. So pretty, pretty happy with Eucerin. We have a great story. We have this unique ingredient, which is exactly what you need to succeed in China. So more to come, but an outstanding performance in 2025 and 2026. The second element, which is making us optimistic is La Prairie. I mentioned the fact that we are growing in net sales by 3%. But if you look at sellout, we are growing at 10% and with e-commerce growing at 30%, and that's really something that we did not experience in China since a long time. So La Prairie, good dynamics, compensating -- more than compensating the difficulty of Hainan, which was always small for us. I think the job which has been done by the new CEO and the team is starting to pay off. And the fact that we discovered late, but clearly, with a great execution, e-commerce is doing well. Last but not least, NIVEA, this is a question. What I can tell you that when you look at the face care business over the last quarter, we have been growing step by step. If you look at sellout quarter 2 plus 18%, quarter 3 plus 36%. Again, if I look at my 11/11 first figures, again, 30% of the time, we are growing plus 30%. I also believe that this Thiamidol story with, of course, a better price is an asset for NIVEA. And again, we are also using Eucerin to make some -- to create some awareness on Thiamidol. So I would not open champagne, but I think when I look at the 3 major brands in China, we have pretty good signals and more to come in Q4, which will be extremely strong for China.
Christopher Sheldon: Thank you. That was the last question. This concludes our conference call. Beiersdorf's next Investor Relations event will be the release of our full year results on March 3, 2026. We appreciate your interest in Beiersdorf and look forward to seeing you back here again in the new year. Thank you very much.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.